Kyle Ostgaard: Thank you for standing by, and welcome to the Third Quarter, 2024 Conference Call for System1. Joining me today to discuss System1's business and financial results are our Co-Founder and Chief Executive Officer, Michael Blend; and our Chief Financial Officer, Tridivesh Kidambi. A recording of this conference call will be available on our Investor Relations website shortly after this call has ended. I'd like to take this opportunity to remind you that during the call, we will make certain forward-looking statements. This includes statements relating to the operating performance of our business, future financial results and guidance, strategy, long-term growth and overall future prospects. We may also make statements regarding regulatory or compliance matters. These statements are subject to known and unknown risks and uncertainties that could cause our actual results to differ materially from those projected or implied during this call. In particular, those described in our risk factors included in our annual report on Form 10-K for the fiscal year 2023 filed on March 15 as well as the current uncertainty and unpredictability in our business, the markets and the global economy generally. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on management's assumptions and beliefs as of the date hereof, and System1 disclaims any obligation to update any forward-looking statements, except as required by law. Our discussion today will include non-GAAP financial measures, including adjusted EBITDA and adjusted gross profit. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. Historical performance and future estimates provided during this call exclude results from total security. Information regarding our non-GAAP financial measures, including a reconciliation of our non-GAAP financial measures to our most comparable historical GAAP financial measures may be found on our Investor Relations website. I would now like to turn the conference call over to System1's Co-Founder and Chief Executive Officer, Michael Blend.
Michael Blend: Thanks, Kyle. Good afternoon everyone and thanks for joining us on our Q3, 2024 System1 earnings call. Despite a mixed quarter with respect to the overall advertising marketplace, we delivered a strong quarter with many positives, including exceeding the high end of guidance on EBITDA. System1 delivered almost $89 million of revenue and $38 million of gross profit. Adjusted EBITDA came in at $10.3 million. These results were driven by the continuation of the trends we discussed last quarter. Our owned and operated products continue to perform well, with revenue up 16% sequentially from the second quarter. As a reminder, our owned and operated products are our businesses, which have organic users and they are not heavily reliant on System1 spending marketing dollars for their growth. Our largest owned and operated products are Startpage, our private search engine MapQuest, our mapping solution that competes with Google and Apple Maps and CouponFollow, our promo code website that enables consumers to get great deals while they shop. Now in contrast to the growth in these products, our marketing-driven business lines continue to see the effects of significant choppiness, with our largest advertising partner, which is Google. Now while Google's overall advertising business is doing fine, the specific area of Google we partnered with which is called their search partner network has underperformed the rest of the Google business. Because we are closely tied to the search partner network, choppiness within this business line at Google, has translated into underperformance on our marketing-driven businesses. That said, and I'll go into this later, we are optimistic that our businesses tied to Google will return to growth in 2025. On the technology side, we continue to see returns from our continued investment in our RAMP platform as we integrate AI deeply into RAMP. We were able to create and launch new marketing campaigns faster and more efficiently, and our product and engineering teams are moving faster than ever. And on our expense side, our focus on reducing OpEx continues and we're having a positive impact with OpEx decreasing 5% sequentially. All right. Let's get into some of the business details, starting with our owned and operated businesses. Total owned and operated revenue was $71 million, up 7% year-over-year but down 9% from last quarter. Adjusted gross profit was $26 million, up 11% year-over-year and down 4% from last quarter. The sequential revenue and gross profit declines were caused by a decrease in advertising spend of approximately $5.5 million. Although advertising spend declined, sessions on our O&O properties were over $2 billion, up 125% year-over-year and up 3% from last quarter. RPS and CPS both decreased from the second quarter making it the third consecutive quarter of declines in these metrics. This trend is driven by lower cost-per-click rates in the United States, as well as a mix shift towards international markets, which also have lower monetization rates in the US. In Q3, international revenue represented 35% of owned and operated revenue compared to 24% in Q3 of 2023. The spread between RPS and CPS in Q3 was $0.13 or 59% compared to $0.04 or 55% in Q2. Overall, I am pleased that we have been able to scale our international efforts quite a bit. But unfortunately, this was offset by a decline in our domestic marketing-driven businesses. In Q3, we launched over 12,000 new marketing campaigns and over 50% increase from Q1 of this year. The investments in RAMP are paying off and enabling us to greatly increase our launch throughput with campaign launches increasing every quarter, this year. As I mentioned, our O&O products continue to perform really well and in Q3 generated approximately 29% of total O&O revenue and 75% of our O&O gross profit. CouponFollow has continued to have a strong year following a series of Google search algorithm updates that started in May and that benefited the promo code and couponing sites with the best technology. In Q3, CouponFollow experienced a 47% sequential and 108% year-over-year increase in organic sessions to its website and the number of users of our promo code browser extension has more than doubled. Startpage, our private search engine continues to execute well and grew user sessions 22% year-over-year. In addition we recently completed the rollout of our private browser app by launching the Android version, which joins our iOS version we rolled out in Q2. So far we have seen significant downloads and engagement with more than 200,000 downloads across Android and iOS. And on MapQuest, we saw 15% growth year-over-year in user sessions and recently have seen the highest usage of our MapQuest mapping service since we acquired the business in 2019. I should add a little perspective to this accomplishment. When we acquired MapQuest from Verizon in 2019, it was a 23-year-old brand in serious decline. And on the Internet it is highly unusual and very difficult to resuscitate a brand and bring it back to life. Our MapQuest team has not only injected new life back into MapQuest we are seeing record usage days and are rolling out new innovative products such as our new private Maps app. Overall, our organic products give us a significant hedge against the recent volatility we've seen in our marketing-driven O&O business. Because this business has been so choppy over the last several quarters, I thought it would be useful to get into more detail about as to the causes. At the highest level, our marketing-driven businesses are driven by two factors; the cost of buying traffic on our buy-side and the amounts we receive for monetizing that traffic with advertisers on our sell-side. For the last four quarters or so, our buy-side costs at our traffic sources like Meta, Google, and programmatic display networks have been relatively stable and in some cases increasing as the overall marketing as the overall advertising market rebounds. Our integration of AI into our RAMP platform has enabled us to scale our campaign launches on the buy-side and our bidding algorithms have become increasingly sophisticated. I'm really pleased with all the work we have done to scale our buy-side efforts. Now, in contrast, the sell-side has been the root of almost all of our marketing business-related issues. To understand those issues, it's important to remember that much of our sell-side revenue is derived from Google and specifically, the Google Search Partner Network I refer to as SPN. The SPN is comprised of non-Google-owned websites and search engines that show Google advertising and it's distinct from Google.com or YouTube or other Google properties. Google specifically calls out the SPN segment in its earnings. And if you look at the Google's financial results, which I'm sure many of you do, you will see that SPN has remained largely flat, while the rest of the Google business has climbed. System1 is a very large participant in the SPN via our publishing network and much of our marketing revenue is generated by purchasing advertising on ad networks like Meta and sending that traffic to advertisers via the SPN. Our core issue related to the SPN is that we have seen large fluctuations in what Google pays us for traffic we send to the SPN. Now, there are several reasons for this, but the most important one is that Google has been making significant efforts to improve conversions for advertisers who advertise on the SPN. These efforts include policy changes improved screening of traffic quality and significant product improvements. The efforts are critical to maintaining the health of the ecosystem because the traffic that flows through SPN has to convert for advertisers who advertise on the network. While Google regularly makes pricing adjustments and product changes to ensure high traffic quality its efforts have ramped up considerably in the past year. Now, System1 applauds Google's efforts. And as one of Google's largest and highest-quality partners, we have been at the forefront of working with Google to improve the quality of the SPN. Unfortunately as Google rolls out product updates designed to improve the overall network quality, the immediate effect is volatility that impacts all partners including System1. Now, as the cadence of the product updates has increased, it has been challenging even for the higher quality partners like System1 to keep pace and adjust. Now, fortunately all of these efforts appear to be having the desired effect of increasing traffic quality, which in turn means that advertisers will benefit more which ultimately will increase advertising rates paid by advertisers in the long-term. As the Google Search Partner Network rebounds, we believe System1 is well-positioned to benefit. We've invested heavily in RAMP including leveraging AI and machine learning processes for real-time traffic quality detection. In addition we have always worked closely with our network partners to make sure that we are preserving advertiser trust while maintaining a quality user experience. In short, the more Google focuses on its efforts to maximize value to consumers and advertisers, the more System1 will benefit. Now moving on to our Partner Network business. Partner Network revenues was $18 million and adjusted gross profit was $13 million. Revenue decreased 17% year-over-year, but was up 5% sequentially. Adjusted gross profit decreased 5% year-over-year and 3% sequentially. Total sessions were $2.3 billion up 159% year-over-year and up 13% sequentially. Partner Network RPS declined 68% year-over-year and 7% quarter-over-quarter. The higher sessions and lower RPS were driven by the same trends that we saw in our O&O marketing business, lower domestic pricing and a bigger mix shift to international markets. In Q3, average revenue per partner increased 7% versus the second quarter. Total active partners decreased slightly from Q2 to approximately 290 partners. At the end of Q3, we had 58 scaled partners in line with second quarter. We consider a platform customer to be a scaled partner when they are generating at least $50,000 of revenue per quarter on ramp. Now like our O&O marketing business, our partner network is dependent on the strength and steadiness of the Google Search Partner Network and therefore is subject to the same dynamics I outlined above. Similar to our O&O marketing business, as the SPN rebounds and pricing increases, we expect that growth in our Partner Network will follow. Overall, I'm really pleased with our performance in the third quarter. Our team has been executing well. Certain parts of our business are exceeding our expectations and we are well-positioned for growth in the areas that remain challenged once the SPN studies. Our product and engineering teams are executing well. We're doing more with fewer people and we remain tightly focused on controlling OpEx. We aren't yet where we want to be but things are moving in the right direction. In light of the ongoing volatility in the marketplace that I highlighted earlier in my comments, we've decided to not provide guidance for Q4 at this time. If we see improvements in stability we may revisit the possibility of offering guidance later in the quarter. And to close my section of the call, as always, I would like to remind you that management is the largest shareholder group in System1 and our interests are very aligned with yours. As our business gets back into growth mode, we're excited to have you along for the ride. I now have things off to Tridi to discuss our quarterly results in more detail. Thanks a lot Tridi. Take it away.
Tridivesh Kidambi: Thanks, Michael. Overall, we are very pleased with our third quarter financial results where we came in at or above the high end of our guidance for all of our key financial metrics with the highlight being our $10.3 million of adjusted EBITDA representing year-over-year growth of 28% and quarter-over-quarter growth of 4%. Now on to our operating results. Q3 revenue was $88.8 million representing a 1% year-over-year increase and a sequential decline of 6%. Revenue was $800,000 above the high end of our Q3 revenue guidance range that we provided in August. Owned and operated advertising revenue was $70.8 million up 7% year-over-year, but down 9% sequentially. Our owned and operated results were primarily driven by our products businesses, which generated $20.7 million of revenue up 31% year-over-year and 16% sequentially. Network revenue was $18 million down 17% year-over-year, but up 5% sequentially. Adjusted gross profit was $37.7 million up 1% year-over-year and down 3% sequentially. Adjusted gross profit was above the midpoint of guidance by $700,000. Revenue less advertising spend for our owned and operated advertising segment declined 4% sequentially to $26.4 million. Specifically for our owned and operated product businesses, revenue less advertising spend was $20 million up 35% year-over-year and 16% sequentially. Network revenue less agency fees was $13.1 million down 3% from Q2 and down 15% sequentially. Owned and operated cost per session and revenue per session were both down sequentially to $0.02 and $0.03, respectively. On the network advertising business RPS was $0.01 per session. Most importantly, total sessions processed by RAMP in the most recent quarter was $4.4 billion up 142% year-over-year and 8% sequentially. In general, this quarter made it apparent how the diversity of our business lines are a real asset to the overall business as the organic nature of our products businesses served as a strong bulwark against the choppiness of the paid advertising markets. While we have seen significant volatility on our marketing-driven businesses resulting from sell-side product and policy updates, our core product utilities, such as mapping, private search and coupons and promo codes provide us the opportunity to sidestep this volatility and continue to attract users that we can then monetize which also allows our RAMP platform to continue to generate gross profit and adjusted EBITDA for the company. On to operating expenses and EBITDA. In Q3, operating expenses net of add-backs were $27.3 million, down $1.5 million quarter-over-quarter and down $1.8 million year-over-year. As I have stated continuously throughout this year, we have been working hard to reduce our operating expense structure over the last year, and we expect to continue to drive sequential cost savings on a quarterly basis for the foreseeable future. Adjusted EBITDA was $10.3 million in Q3 versus $8.1 million in the same quarter last year. Adjusted EBITDA came in above the high end of our Q3 guidance range by $300,000. We are extremely proud of our ability to generate sequential growth in adjusted EBITDA despite a slight sequential decline in adjusted gross profit. With respect to liquidity, we ended the quarter with $69.1 million of unrestricted cash on our balance sheet and an outstanding balance of $285 million of term loan debt under our credit agreement. Our net leverage at quarter end was approximately seven times. Per Michael's earlier comments, given the current volatility in the marketplace, we have decided not to provide financial guidance for the quarter at this time. The uncertainty in market conditions makes it challenging to offer an accurate outlook, especially during the seasonally strong Q4. However, should we observe a stabilization in the overall market environment and pricing dynamics, we may consider issuing guidance at a later time during the quarter. While we remain focused on navigating these conditions in the short-term and remain confident in our ability to seize on our long-term opportunities, we are committed to achieving financial outcomes that demonstrate our operational success. Thank you for joining us today.
Kyle Ostgaard: Thank you, Tridi. We're now going to open the line for some questions. On the line is Tom Forte from Maxim Group. Tom, go ahead with your question.
Tom Forte : Great. Thanks. So Michael, you did an amazing job explaining a lot of the things that are going on. So let's start with MapQuest. What have you done that's enabled you to essentially resurrect the brand? And what gives you confidence that you can continue to grow it on a go-forward basis?
Michael Blend : Yes. Thanks, Tom, and thanks for joining. So on MapQuest, when we took it over, God, it must have been more than four or five years ago from Verizon, it was really a brand in decline. Verizon wasn't investing in it. It wasn't adding features to it. It wasn't making the mapping better. All the kind of nuts and bolts, blocking and tackling you need to keep the consumer brand going. When we took it over, we essentially took over the technology. It took us a couple of years to move it on to our technology stack and then really basically just started adding features to it that we thought customers would like. We added a lot more what are called points of interest so a lot more descriptions about places people are trying to travel to, and we switched technology providers over to here. We've got a lot of other data sources that we've been adding to it. We've been improving the mobile apps that people use. It's really all the things that will bring customers on board. And a lot of that has resulted in more direct users coming, but also more people finding us through search engines as well. So people are going and typing in addresses and MapQuest is showing up, because it's such a well-known brand and such a good experience. Going forward, Tom, we just launched a new private mapping app. So you can now -- like unlike using things like Google Maps and Apple Maps that gather a lot of your data, you can now drive to the places you want in privacy and no one will know where you're going. But things like that when we're going to start rolling out subscription products related to MapQuest and it's all paying off. This quarter, we've had a few weeks ago, our highest traffic day ever since we acquired the brand from Verizon. So, I guess just to summarize, we're just doing what we always do when we buy companies, which is to make the products better.
Tom Forte: Then my next question is on the industry itself, you did a wonderful job explaining what's going on with kind of a specific Google product. But does it help you essentially that the digital advertising market, there should be a lot less emphasis now that the election is behind us and that sort of thing? So I know that you're withholding guidance due to a lack of visibility in the ad market. But is it beneficial to you that advertisers essentially focus more on goods and services and less on candidates?
Michael Blend : Yes. So, specifically where the election being over should help us is on the buy side. So when we're buying ads on places like Facebook, we're competing with every advertiser out there. And the more election-focused advertising spend that comes on board, it's just more advertising competition. When that pulls back, it will kind of look like a more normal marketplace. And so, we would expect to pay a little bit lower pricing. We haven't seen it. I haven't looked at the data in the last day or so. So I can't tell you for sure, but I would suspect that we'll see pricing kind of normalize a little bit from the burst over the last four to six weeks. The specific reason why we're withholding guidance is not really volatility in the overall advertising market. But specifically, the next six to seven weeks are really where you would expect to see a couple of things happen. The buy side will go up. So our cost on buying traffic should go up, because people -- there's a burst of advertising activity related to the holiday season. And then on the sell side, so we're pretty confident we'll see some increased costs on the buy side. Typically, what would happen is we'll offset that with increased better pricing on the sell side when we're selling to Google. Because the Google search partner network has been pretty volatile as I outlined in my remarks, we're not -- we don't have 100% confidence that we'll see that increase that we would expect. So far everything looks okay, but because the next six weeks are so important, we thought it would be more prudent to kind of not promise any numbers until we had a pretty good idea where they were going to be.
Tom Forte: All right. So then last one for me and then I'm going to hand it off to Dan. So RAMP is an amazing technology. You were early in leveraging artificial intelligence. I was curious if you made any adjustments to RAMP that make it more effective today than maybe it was last quarter or last year.
Michael Blend: So, the pace of product improvements we're making to RAMP is pretty remarkable. I know that a lot of companies have been talking about AI. It's really been the buzzword for the past year 1.5 years. As I mentioned, the early -- some of the early use cases for AI that have been really, really effective have been in the advertising space. So, we talk a lot about being able to create better content using AI which we have been able to do. We're using it to create our content with editors looking over the results and making sure that what we're publishing is truthful and authentic. But then on the advertising creative side, the ability to produce entertaining engaging ads that people will click on has gone up dramatically by at least an order of magnitude on our side in terms of ease of producing those and I think it's going to end up being a couple of orders of magnitude. So yes, to answer your question since last quarter, yes, we've been making continual improvements in the platform. And I expect every quarter over the next year or 2, we're going to see dramatic improvement. So, our platform is much better, much more automated, much more scalable. You're not yet seeing in our numbers primarily because of the reasons I outlined in the earlier remarks.
Tom Forte: Great. Thanks, Michael, thanks, Tridivesh. Good luck in the fourth quarter.
Kyle Ostgaard: The next question is from Dan Kurnos from The Benchmark Company. Dan, go ahead with your question.
Dan Kurnos: I hope you guys can hear me. Obviously crazy night tonight. So I'm going to try Michael to ask my best here and hopefully not go over something you've already said. But a couple of things I wanted to actually follow up on one of Tom's questions. Just given the change in administration a, I'm curious if you have an opinion on -- I know there haven't been remedies yet in the ad tech trial, but I'm curious what you think that might mean for kind of Google and the ecosystem. And then secondarily, I think there's a view that there might be -- I don't know let's call it a reinvigorated lower end of the consumer given the recent change in administration as well. And so, what that might mean either for ad spend and/or for kind of couponing as we head into the holiday period?
Michael Blend: So, okay a few questions in there Dan. First of all, thanks for joining. Appreciate it. Always good to talk with you. So, I can't really speak to what would happen -- what's going to happen on consumer spending. It's kind of hard to tell. I don't really know. I don't think anybody knows what will happen with the potential change in administration. I've seen a lot of speculation what could happen to interest rates going up or down. But I don't want to speculate anything there. Specifically, as related to kind of a lot of the ongoing antitrust trials that -- the change in administration could have a pretty big effect on that. I'm not an expert in this area. But my understanding is that a lot of the groups which are broad the antitrust trials against Google and some of the other large technology companies, potentially you're going to see a less focus on antitrust. I know there's been some speculation on that as well. As far as it relates to Google specifically, again, I don't really know what's going on behind the scenes. I don't think anybody does. I guess my understanding was that the new administration has been a little bit antagonistic to Google. So you might expect that Google won't get a lot of relief there. But on the flip side, for all I know there could be plans to even drop cases against Google. So I think until that becomes a little bit more clear it's a little tough to speculate. I would say that with the change in administration it does seem pretty -- it doesn't seem like a bad thing for Google on the antitrust front on the trial side. The one area that you and I have talked about which I'm wildly curious to see what happens is I believe the TikTok ban is coming up here in like two three months. And my understanding is that at least within the new administration there's some conflicting views on whether that should take effect. Now, if I recall correctly, that was a law that's passed. So I don't actually know if the law can be ignored. But I'll be wildly curious to see what happens really to TikTok because that would have a pretty dramatic effect on the -- not really on our business. We don't do a ton of business with TikTok domestically. But on the overall advertising marketplace, if TikTok either stays in or goes out, you're going to see some pretty dramatic changes.
Dan Kurnos: Yeah. I mean I just -- like -- I know it seems kind of higher level, but I just bring it up because you guys tend to thrive in sort of disrupted marketplaces. And so to the extent like if we get into December and all of a sudden there's just a vacuum because we're post political and nobody has any idea how much to spend or what to spend it on or if we end up having kind of changes to the ecosystem, I'm just -- how ready are you guys to capitalize on that kind of stuff? Do you anticipate disruption? And frankly, Michael, I mean you gave me a good segue to the question, I always ask you every call which is, it's true you don't do TikTok domestically, but you do it very well internationally. And we continue to hear kind of a recovery abroad. And so just curious what you're seeing there and how that's impacting the business.
Michael Blend: Yeah. So to your first question, absolutely, when there's disruption in markets that's where we thrive. And so we would welcome disruption. We'd welcome advertiser pullback -- advertising spend pullback from -- the rest of the advertisers will for sure step in and take advantage of that if it happens. On the TikTok side, no we're seeing continued strength internationally working with them been impressed with the team that we work with there. We're big enough advertisers at this point where we have large team from TikTok working with us and we'll do all-day meetings with them. They've been quite responsive on the product side to -- in some cases we need some bespoke technology built for us and they've been great at doing that. So we're seeing continued strength there and I don't expect that to change internationally via TikTok.
Tridivesh Kidambi: Yeah. And Dan, this is Tridi again. Nice to talk to you. International remains a bright spot for us as well. So Michael mentioned in his remarks, 35% of owned and operated revenue in Q3 versus 23% or 24% last year. So again, to your point an area of real growth for us albeit at a kind of lower RPSs just given rates internationally versus domestic.
Michael Blend: Yeah. And I think Dan you mentioned promo codes and couponing. Yeah, we would expect that as do we see every year, holiday season is going to be a strong one for CouponFollow. We for sure see a burst of activity that pretty closely mirrors shopping trends domestically where our strength on CouponFollow is domestic.
Dan Kurnos: Yeah. We're hearing about a pull forward and a shift to e-com this year. So I think that would probably benefit you guys. I guess we'll see how that plays out. I guess I'll probably leave it there. I would love to ask you guys about new product launches and what they're going to contribute to the P&L. But since we don't have Q4 guide, I don't think I'll get much of an answer at this point. So I appreciate it. Thanks for all the color guys and good luck and good job on Q3.
Michael Blend: Thanks for joining. Appreciate it. Always good to talk with you.
Kyle Ostgaard: We are now going to turn it back to Michael Blend for closing remarks.
Michael Blend: Okay. Thanks, Kyle. Thanks everybody for joining. Happy that we had a quarter in which we could fulfill our guidance for all of the investors out there. Thanks for following us and we look forward to speaking with you next quarter. Thanks again.